Steve Bell: Good morning everybody, and welcome to Everplay's FY 2024 Results Presentation. This is obviously the first time that we've presented as Everplay, we rebranded the business. And I'll go on to talk about that a little bit later in the presentation. But in terms of the presentation itself, it's going to last for about 35 to 40 minutes. I'm going to be kicking the presentation off, talking about an operating review of the year, and talk about the divisions in a little bit more detail. And then I'll hand over to Rashid. A number of you will have met Rashid. Rashid is our CFO and COO and joins us from Jagex, and was prior to that was at Codemasters. So comes with extreme experience in the world of gaming, and is adding huge value already within the business. So Rashid will talk about 2024's financial performance. I'll then talk about the strategic priorities within the business, and give everybody an update on that. And then I'll finish with the outlook for 2025 and beyond. So 2024, a really strong financial performance for the business. Revenues were up 5%, £167 million. And that consistently shows the growth that we're generating within the business year-on-year. Our adjusted EBITDA was at £44 million, so a 46% increase on where we were in 2023. And that shows obviously strong recovery in profits and margin, but more importantly a very quick reaction to the change in strategy that we employed within the business at the back end of 2023, when we restructured the business. Our cash is at £62.9 million. So we have a really robust balance sheet and consistently strong cash generation. And a number of you will have seen from the RNS that we'll be paying a dividend, a maiden dividend, and that underscores our confidence in the outlook, and the robust financial situation that we face within the business. I think overall what this shows is that we're a portfolio business. I'll go on to talk about the portfolio in more detail, but it shows that we don't rely on any one title in any given year, to deliver the type of results that we've delivered in 2024. From an operational perspective in a little bit more detail, we've shown double-digit revenue growth from first-party IP. And most of you will have heard me talk about the importance of first-party IP. Not just because we have the creative control around first-party IP, not just because we have a community of millions and millions of people that love our first-party IP. But also the fact that it generates really positive margins for the business, because we don't have to share any of the revenues with developers. So that growth in first-party IP to 37% of our overall revenue, is a really positive step forward for us. Consistently strong back catalogue performance with revenue up 27% year-on- year. And again, I talk an awful lot about the importance of lifecycle management and back catalogue, but it is, it's critical. It's the foundation of what was the Team17 Group, now the Everplay Group. And we have contribution from over 130 titles. So it's 130 titles on a day-to-day basis are generating revenue for the business moving forward. Very strong community engagement, so investing in our games, investing in our IP. The growth of our back catalogue doesn't happen by chance or luck. It's down to spending the right amount of time, effort and in some situations, money to make sure we've got a really engaged community who love the title, who are expecting updates, DLCs, sequels. So we need to make sure we're doing that and Hell Let Loose is a fantastic example. So in 2024, we had concurrent users of 45,000 at any given time. So that's the highest peak we've ever had. It's a 90% year-on-year increase from 2023. And the concurrent users, is basically a measure of how engaging a game is, how many people are playing that game at any given time. It's such an important metric within the world of gaming. So for us to have a 90% increase year-on-year from '23 to '24, is incredible. And something else that I thought would be quite interesting, is if you look at 2025, we actually reached north of 1,40,000 concurrent users on Hell Let Loose alone. So that shows that our strategy around investment, and spending time with the community and having a franchise director, that sole job, whose sole job is to actually work on Hell Let Loose, is working fantastically well for the business. Deepening gaming experience throughout the business, in the Board and also across senior management. So I've already mentioned Rashid and the vast experience that he's bringing to the business already. But we've also brought in a Group Product Acquisition Director. I'll go into more detail in terms of what that role actually is. It's a guy called Harley Homewood and Harley used to work at Team17, worked at Team17 for eight years and was Debbie's number two, when the business was going through an awful lot of change and growth. So to attract Harley back to the business, as Group Product Acquisition Director is a huge coup for the business, and a massive add value to what we're doing. And the final point is around the successful rebranding of the group to Everplay. I just want to spend a minute talking about Everplay, and why we actually went through this process, because it wasn't done as a vanity project just to change the name, for the sake of changing the name. What we needed to do is make sure that we were future proofing our business. And with the Plc or the Topco being called Team17 and then the Games Label being called Team17 and then StoryToys and astragon sitting either side of that, it created huge amounts of confusion both internally and externally. So there was a real important need to actually rebrand the business. And what that's done is it's removed the confusion, both amongst the investor community and people internally. As far as Everplay is the Topco that is the group name. And then we still have Team17, astragon and StoryToys that have got decades worth of experience and equity in the marketplace. It also simplifies our positioning. It's a far simpler message now to talk about Everplay as the Topco. It allows the divisions to own their identity. Team17 as a Games Label almost went through an identity crisis, because it was loaning its name to the Topco on a day-to-day basis. People didn't know what to call it. It was called Team17 Digital One Day, then Team17 Games Label, then just Team17. So now it's just Team17. That's what it was, that's what it should be. It's our indie publishing and developing studio. It also signifies growth and ambition, which is a really, really important thing. It supports our delivery of efficiencies. So making sure we've got the right level of seniority at group level that, can add huge value to Team17, astragon and StoryToys and any other acquisitions we make on a day-to-day basis. And as I've already said, it also future proofs our business. So a really important and significant step within the growth of what was Team17 Group, now Everplay Group. I'm now just going to spend a minute or two, on the three individual divisions to give you a little bit of color on the performance of those divisions in 2024. So Team17, let's start with Team17. So overall revenues fell by 5% within Team17, and that was down to two main factors. Some of the new releases did not meet internal expectations. The market as a whole is hugely competitive. The gaming market, if you look at Steam and the number of launches on Steam, in 2024 it was at 19,000. In 2023 it was about 14,000. So you can see the growth in terms of the number of titles that are launching on a day-to-day basis. So therefore some of our titles didn't meet the expectations that, we actually set for them. We also took a conscious decision, to push some of the titles that we were planning to launch in Q4 of 2024, into 2025. And I don't regret that at all, because you need to craft titles. If titles aren't ready to go-to-market, then you'll be damaging those titles in the long-term, if you launch them too soon. So SWORN is a very good example. It was slated to launch in 2024, but we took the decision to push it into 2025, because we felt it needed three or four months, worth of crafting, of polishing and that's gone down fantastically well. If you look at the success of SWORN in our Early Access launch in February, the review scores are very, very high. The community engagement is high, sales are positive. So again, that is a conscious decision and an important decision. Having said that, the back catalogue grew 39% within Team17 in 2024. An incredible growth. Standout performers included Hell Let Loose, Golf With Your Friends, Overcooked Dredge, Blasphemous 2 and Trepang, very strong year for first-party IP. The Escapists, Worms, and Golf With Your Friends did incredibly well. But if you look at Hell Let Loose, and this is really important stat, Hell Let Loose delivered record revenues five years after launch. So again, some people naturally presume you launch a title, and then it just declines year-and-year-and-year, that's not the case. If you can invest the right time, create the right engagement and create the right community, things like Hell Let Loose can happen. And that's our goal, to make sure that we've got evergreen brands that grow over time. Ten new games were launched including the multi-award winning CONSCRIPT, and 11 existing games were released on new platforms. And there were further refinements to our green light process, making sure we were streamlining it, and also seniorizing it to ensure that the titles we're signing within Team17, are of the highest standard. And also making sure that the developers who have choices in the marketplace, are coming and wanting to work with Team17. If I move on to astragon, very, very strong revenue growth of 22%. First-party IP revenues increased by 16%, now accounting for 70% of the sales within astragon. Two new games were released, Construction Simulator 4 as well as the physical distribution of the highly successful Farming Simulator 25. Five existing first and third-party IPs games were released to additional platforms. And again that's really important, because the additional platforms create a wider community, a wider target audience who may be more into playing on a particular console or a particular platform. And we also launched 12 paid DLCs across existing IPs so again a constant feed of DLCs on existing IP. So very, very strong performance from astragon in 2024. And finally StoryToys another year of stellar growth, 25% revenue growth year-on-year. Three new license apps were launched including Sesame Street Mecha Builders, Thomas & Friends and the highly successful LEGO DUPLO PEPPA PIG, Barbie Color Creations was launched on Apple Arcade. And the relationship that we have with Apple is going from strength-to-strength. The StoryToys management team were actually invited out to Apple headquarters to meet their entire leadership team, to talk about the principles and the foundations of amazing gameplay amongst two to seven year olds. That sort of thing doesn't happen very often. So it just shows the strength of relationships that we have, with all of the partners within the world of StoryToys. 531 app updates across existing titles, supporting subscriptions and again, as most of you know, we need to make sure we're continually feeding the apps that we're launching, because subscribers want updates, they want new versions, they want new areas to play, or they want their children to play in those. So 531 app updates, which pretty much works out two app updates every working day of the year, which is an incredible performance when you look at the fact that, StoryToys develop all of their own content within the business. Active subscribers continue to grow, now exceeding 337,000 and StoryToys has 11 million monthly active users. Number of lifetime downloads now exceeds 240 million. It's now up to 250 million as we stand here today, five Kidscreen Awards nominations, which is almost like the Kids Oscars across film and TV and gaming. And something that we're really excited about is a new label within StoryToys for 2025, because StoryToys obviously targets two to seven year olds, After the age of seven, child not really going to want to buy a game that has a big StoryToys logo with a smiley sun on it. So what we are doing is we're launching a new label that's targeting eight year olds and older, it will still be tapping into all of the expertise and experience we have from a licensed brand perspective, because we're working with the biggest and the best licensed brands in the world. We're working with LEGO, we're working with Disney, we're working with the BBC, Hasbro and Mattel. You're not going to work with any better brands in the marketplace. So to now be able to take that to an eight year old plus audience, is something that we're hugely excited about. So that hopefully gives you a good flavor of the three divisions, and the overall macro view of how we performed in 2024. I'm going to hand over to Rashid now, he's going to talk about the financials in a bit more detail.
Rashid Varachia: Good morning, everyone. Thank you, Steve. So Everplay Plc, or previously as you know the company as Team17, is a company which I have admired for many years, mainly due to the talent, the diverse IP and the exceptional back catalogue. The group has been hugely successful since IPO, and some would even regard it as a darling of the video games and market in the U.K. I'm very pleased and excited to be here, and leading the charge together with Steve and the wider team in a dual role as CFO and COO. In addition to our strategic priorities, which Steve will talk about shortly, other focus areas for me, includes creating operational efficiencies and synergies across the group, and professionalization of support functions to ensure we adopt best practice, and supporting existing talent, and creating world leading first-class functions, which drive the business forward. There are great opportunities to increase revenues and profitability, both organically and through M&A strategy. I'm really excited for 2025, as Steve has mentioned, we've already got off to a really good start in quarter one, and we've got 10 new titles to come, which are in the pipeline. Let's discuss our revenues. So excellent start to our maiden results. For the first year for myself, group revenues increased by 5% year-on-year, which was substantially ahead of the market growth which is only 0.6%. 2024 was Everplay's seventh consecutive year of delivering growth since its IPO. The growth was generated organically through existing businesses from a combination of new releases, and extensive back catalogue. Demonstrating our benefits of Everplay's portfolio strategy, and exceptional lifecycle management, again as Steve has touched upon. From a divisional perspective, Team17 revenues and a decline as already discussed by 5%, mainly due to titles moving out into 2025, of which SWORN has is already proving to be a success in Q1, Astragon and StoryToys delivered 22% and 25% growth respectively. In terms of our revenue split, first-party IP revenues contributed £62 million, or 37% of our total revenues, which was an increase of 10% year-on-year. Driven by strong performance from games such as Hell Let Loose, Construction Sim, Police Sim and Golf With Friends, all of which remain in the group's top 10 selling titles. Third- party game revenues grew by, grew to £105 million led by the success of Overcooked and Dredge. The group's back catalogue enjoyed another amazing year of growth, up 27% year-on-year representing £144 million of total revenue. 2023 revenue of £114 million so it's up £30 million year-on-year, which is substantial. And this is a testament to the quality of the group's portfolio, and the team's skills in lifecycle management. Standout performance was from Overcooked 2, Hell Let Loose, Police Sim and Dredge. New release revenue reduced from £45 million to £23 million mainly driven by Team17, as we've already touched upon, and this was a combination of slippage, but as I've already mentioned, SWORN is doing particularly well at the start of 2025.Gross profits increased sharply in '24 by 21%, and gross margins improved by 5.5% driven by a number of factors, including lower title impairment contributing to over 50% of the variant. Other factors included reduction of royalty fees, driven by stronger first-party titles, improvements in debiting utilization and greater use of outsourcing, higher physical cost for farming CEM25, which all led to the overall improvement. In terms of adjusted EBITDA, which again rose sharply by 46% to £43.5 million resulting in a 38% increase in adjusted EPS to 24.1p contributed by strong revenue growth, underlying margin improvement, reduction in group's overall cost base, due to tighter controls, materially lower title impairments and increased acquisition related adjustments, driven by the final management incentive payment. And then our headcount, year-on-year was broadly flat. We finished the year at 344 for the group. In terms of our capitalized cost, a year-on-year reduction going from £32 million to £25 million. FY '24 was a £7 million reduction in total, £10 million of which was from Team17, and then a £3 million increase for astragon; And then finally on cash, group remains highly cash generative conversion ratio of 97% and the Board has agreed to pay a maiden dividend subject to approval at AGM, with a payment date of early July. Thank you for listening. I'll hand back to Steve.
Steve Bell: Thanks, Rashid. So I just want to spend a little bit of time now talking about strategic priorities. And you would have heard me talk about these for a number of roadshows that I've been on over the last sort of 20, 22 months or so. In terms of the strategic priorities, and this was a very, very important process that we went through at the end of 2023, where it was a case of, right, okay, we need to have absolute focus within the business about where we're spending our time and our effort. And basically these five areas here are the core areas of focus for the Everplay Group now and moving forward. The first is around evergreen brands we can't, and we should never lose sight of what we are. We're a games publisher and a great games developer, and we will succeed if we are signing, or creating incredible games. What I wanted to do, was just give you a bit of an insight into some of the games that we've got launching in 2025. And it will be easy for me to stand here and just flash up a picture and say, well, this is a great game. But you're not going to get the excitement, and the passion that you're going to get from the people who work on these games, pretty much 16 hours a day, because they love them. This is their baby, this is what they want to do and this is what they want to produce. So we've pulled together, a very short video that just talks about six of the titles that will be launching in 2025. And we've got the producers or the brand managers just to talk about why they're excited about the titles that are going to be launched. So hopefully you'll enjoy the next couple of minutes. So again, some really, really exciting titles there. And I think if you look at the titles, and the reason that I'm so positive, is if you look at for example, the Date Everything game that was discussed by Opal earlier on, the thing about that game that's so unique is we've got 100 of the most famous voice actors, from the world of computer games, who are the voiceover artists of this actual game. So suddenly you're going to have a huge community created already, because all of these voice actors have got their own little communities around themselves. So excuse me. So I think that's really interesting. If you look at the Nice Day for Fishing game, we're tapping into a group that I would imagine not many people in this room have actually heard of called Viva La Dirt League. But they're basically a New Zealand based comedy group. They've got 7 million subscribers on YouTube. So again, we've almost got a ready-made community where we can tap into that. But we can also have an incredible game that stands on its own two feet as well. So all of the games that we're looking at, that we're looking at signing and that we're developing have something unique about them. I call it the single minded proposition. What's the single minded proposition that makes this game unique? Because if you've got something like that, the game is more likely to fly than not. The next thing I wanted to touch on around evergreen brands is first-party IP. And you'd have heard Rashid talk about it, and you've heard me talk about it on a number of occasions. The fact that we've got 10 games currently in development, around our first-party IP, and the beauty of that is they've got ready made communities, they've got people that are craving for the next version of these games. And when you look at this slide, you can see some of the lifetime values that, Everplay Group have realized from these first-party IP. So you've got the Escapists £60 million. You've got Hell Let Loose £80 million, Police Sim £40 million, Worms over $100 million worth of revenue has been generated for Everplay Group from that IP. Golf With Your Friends and Construction Sim. So all of these titles over '25, '26 and '27 are going to be launching in the market. And that's something that players' communities both internally and externally are super excited about. And the next thing I just wanted to touch on, because again you hear me talk about lifecycle management month in, month out and the importance of lifecycle management. The reason our back catalogue is doing so well, is because we understand how to take IP that may be one, two, three, four, five years old and make sure that we really make that work, to generate ongoing revenues for the business moving forward. And if you look at the boxes on the left hand side, they're the tactics, or the strategies that we employ. Discounting it sounds pretty simple, but you can discount a title at 50% from day, from week one, and then it's really difficult to pedal back from that, because the expectation from the player is well, I'm always just going to wait for it to go at 50%. So there is a key strategy around discounting premium additions. Making sure that we've got the right amount of digital revenue lines on any particular SKU, to be able to deliver that promotional activity, bundling a game with another game. So suddenly you've got bundled packages, which can create exposure and create sales. Licensing deals, making sure that we're at the forefront of any licensing monies that are in the marketplace from Xbox or PlayStation or anybody else. And also preorder campaigns, creating that excitement about title before it actually launches. Then if you go into greater levels of specificity around Steam and console, around Steam, it's around seasonal sales, it's around publisher sales, it's around curated events, it's basically around exposure. It's making sure that we are working with Steam for our titles to make sure when somebody goes on the Steam site, there is a Team17 or an astragon title that is front of mind. That takes hours and hours of thought from our sales and commercial teams, to make sure we're doing that. And it's a very similar thing with console making sure we've got an always on promotional strategy that, whatever is happening in the world of Xbox or PlayStation or Nintendo, we are at the forefront of that. And what does that mean? Well, it means that we deliver long-term profitability, player retention and brand loyalty. And then, if you look at the pie chart on the right hand side here, you can actually see that sort of back catalogue portfolio in terms of what we generate from titles that, are five years old or older. In terms of the dark blue box, sort of dark blue sector there, games that are two to four years old, and previous year's new releases. So you can see that about 50% of our revenue comes from titles that are five years old or older. That's down to lifecycle management. That's the importance and the skill that is lifecycle management that we employ better than anybody else in the marketplace. So that's evergreen brands. The next section is around relationship builders, and we're only as good, and this sounds very cliched, we're only as good as the relationships that we have with our developers and also with Xbox, with PlayStation, with Nintendo, with Epic, with Apple, with all of the different partners that we work - with on a day-to-day basis. But how do we do that? It sounds as if it's an easy thing to do, but again, you need to invest the right amount of time and have the right trade marketing strategy, to actually deliver that. So I pulled together a very short video. It's about a minute, minute and a half for an event that we put on about four weeks ago in Wakefield where we invited all of our developers that, are currently producing games for Team17 Games Labels. This was a Team17 event, not an Everplay event. We also invited senior members of staff from Nintendo, Xbox, PlayStation, Netflix, and again, to get two days of these people's time in a country house in Wakefield is almost unheard of. Every single one of them said, we've never been invited to an event, where in effect our competitors are sitting on the same table. But we're doing that for a reason. We're doing that to get them on the inside before the game is launched, so they really understand from the devs what's going on. We also invited mainstream media as well as influencers, so again, it's a very short video that just brings the event to life, but it just shows that these sorts of relationship building activities don't happen by chance. I don't know, if you noticed the guy with the pink glasses who was on Date Everything. He is one of, if not the most famous voice actor in the world of gaming. And the irony is he didn't say a word when he was interviewed, so it would have been brilliant if he had actually said something, because a lot of gamers will recognize that. But there we go. So the next two areas, I'm not going to go into huge amounts of detail, but they are critically important to the continued success of the Everplay Group. The first is around synergies and collaboration, and Rashid has already touched on this. Making sure that we have the right group structure to be able to impact and influence, what's going within Team17, within astragon and within StoryToys, making sure we've got the right seniority, the right experience, making sure that we're bringing certain functions into a central area, rather than having duplicative resources, throughout those three individual businesses. And again, that's really progressing very quickly since Rashid has joined the business. And we're making huge progress around HR and IT and legal and data analytics. We're sharing and cross fertilizing huge opportunities, when it comes to sales and marketing now across the three divisions. So it's a far more streamlined and efficient operation than we've ever had before. And the next point is around talent and culture, making sure we are attracting, but more importantly retaining the best talent in the marketplace, not just at a senior level, but also throughout the entire business, and making sure that our culture is strong and vibrant. So again, there's a huge amount of work that's going on, and I feel really positive about how the company is feeling. If you look at our attrition rates now they are - within Team17, they're far more in line with what I would expect, of a company of our size and maturity. Whereas about 12 months ago they were far too high, because we had restructured and went through a challenging time. But now everything seems to be moving in the right direction from a culture and a talent perspective. And the final pillar is around innovation and M&A. And we're calling this our levers for growth. What are the things that we're doing, over and above what we do on a day-to-day basis, to generate the growth that we require from ourselves, but also investors require. So let's not say we're going to change anything that, we're doing on a day-to-day basis when it comes to back catalogue new releases, license deals. That is our core business, that is what we are, that is why we are successful. But we also need to be innovative. We need to be thinking about what else is happening in the marketplace, and what should we be doing to generate that growth. I've already touched on this, but new labels making sure that we are hitting certain audiences that, we that are currently falling between two businesses. So this opportunity within StoryToys, I think is going to be significant. It's going to take time, because these sorts of games and licensed property deals, take a little bit of time to get off the ground. But I would like to start seeing progress within this throughout 2025. Flexible publishing models. I've said on a number of occasions, I think the biggest competition we have as a publisher is not another publisher, it's developers deciding to self-publish their own titles. So we need to make sure we're flexing around that. We need to make sure that we're meeting with those developers, and if they just want to work with us on a lifecycle management or sales perspective, then we will do that rather than saying you have to work with us across our entire offering. So flexing to what the market needs. Most of the developers that we meet, want to work with us across everything that we do. Studio, QA, testing, sales, marketing, deployment, but some of them don't. So we need to make sure we're flexing around that. Back catalogue acquisition, I touched on Harley Homewood joining the business, as our Product Acquisition Director. And basically what we are doing here, is we're looking at relatively low-risk IP investments. So we're actually buying back catalog performance from a number of developers that, are in the marketplace. And if you analyze Steam, there are over 4,000 games that fit the criteria that we have set ourselves in terms of games of a certain size, of a certain quality, of a certain level of engagement. And what we do know is that a number of developers, once they've launched a title, they're thinking about the next title, and they may want investment in the next title. So looking in the market, looking at the right sort of partnerships, and looking at how we can use our cash reserves, to potentially acquire the back catalogue performance of certain IP, is going to be a growth lever for us in '25 and beyond. New platforms, making sure we're at the forefront of what's going on. Look at our IP, looking at whether we go on mobile, or streaming or new generation consoles. So the new variant of Switch, is likely to come out in 2025. So again, what are we doing around that? So making sure we are constantly thinking about where the market is going, and being at the cutting edge in the forefront of that. And finally, M&A and M&A has always been, and will always be a very important part of our growth strategy. We've been hugely successful. If you look at StoryToys, if you look at astragon, if you look at Hell Let Loose. We spent a lot of time in this presentation talking about the success of that IP, and also the two acquisitions of astragon and StoryToys. Rashid and I spend an awful lot of time looking at opportunities in the marketplace, and there are a number of opportunities in the marketplace. But what I will say is, we're not going to rush into anything that feels as though it's going to not be additive, to our business either from a commercial, or a strategic perspective. But we will continue to look, we will continue to invest the right amount of time and we will make sort of progress, when it comes to M&A, but we're not going to rush, because I've seen it too many times where you rush into M&A just, because you feel as though you should do it, and then it comes back and bites you on the backside. So we're not going to do that. But we are very, very active. So finally, outlook. So in the midterm, our outlook is continued growth in revenues and profits. As I've said on a number of occasions, 10 first-party IP games are in development that will be '25, '26 and '27, and they will be established franchises like I mentioned earlier, but also new franchises that will be coming to market. Continued portfolio strategy, maximizing new game opportunities, whilst minimizing the risk. We've always been a business that's around, minimizing the risk that we have. In 2023, within Games Label, we made quite a considerable pivot, to ensure that we are investing in indie titles that, are costing between X and Y. And we're not moving from that, because that is a low-risk model that's been employed over a number of years, within the business. Further progress against our strategic priorities. I've gone through in quite a lot of detail, growth from new revenue streams, and M&A strong underlying cash generation and a progressive dividend. And more specifically with 2025, we've had a really good start to the year. We're really pleased with the first quarter. Encouraging initial results for SWORN that we've mentioned on a number of occasions, throughout the presentation. At least 10 new games and apps, will be launched throughout 2025, and they will be weighted towards the second half of the year. So our weighting is going to be more in line, with where it's been in previous years in terms, of a back ended weighting of that. Solid back catalogue performance growth in revenues, profits and margins, and the maiden dividend that I've already touched on. And what that means, is we expect to deliver full year 2025 results, marginally ahead of the current market expectations. And the final slide, is just a key strength slide. And I think it is an important slide for us just to remind ourselves, as to why we feel as if we are in a really good position, not just for 2025, but also within the midterm. We've got the IP and talent in place, to deliver accelerated growth. This 37% of first-party IP, and the direction of travel is only going in one direction. Diversified portfolio across multiple platforms, to a broad demographic. Over 140 titles across our group, generate revenue for us on a day-to-day basis. Evergreen Brands proven franchise creation. So we've got 12 brands that have lifetime revenues north of £20 million. So we're not talking about small indie games that, generate £0.5 million or £1 million. These are sizeable IPs. A dependable back catalogue. If you look between 2018 and 2024, on average 76% of our revenues have come from back catalogue, which goes back to this low-risk model that we've talked about. Consistent track record of market beating growth. If you look at the market over the last six years, it's grown on average at 5%. We've grown on average at 21%. And finally a very strong balance sheet and cash generation to support M&A optionality. So that's all Rashid and I had to say. Thanks ever so much, for listening for the last sort of 35-40 minutes.
Q - :